Operator: Good morning, ladies and gentlemen, and welcome to the Second Quarter 2025 Results Conference Call. I would like to turn the meeting over to Ryan Hanley. Please go ahead, Mr. Hanley.
Ryan Hanley: Thank you, and good morning, everyone. As mentioned, we would like to welcome you to Major Drilling's conference call for the second quarter of fiscal 2025. With me on the call today are Denis Larocque, President and CEO; and Ian Ross, CFO. Our results were released yesterday evening can be found on our website at www.majordrilling.com. We also invite you to visit our website for further information. Before we get started, we would like to caution you that during this conference call, we will be making forward-looking statements about future events or the future financial performance of the company. These statements are forward-looking in nature and actual events or results may differ materially from those currently anticipated in such statements. I'll now turn the presentation over to Denis Larocque, President and CEO.
Denis Larocque: Thanks, Ryan, and good morning, everyone, and thank you for joining us today for a walk-through of our quarterly results as well as an overview of what we believe is a very exciting acquisition, which I'll discuss later towards the end of the call. But before we start, I would like to congratulate our Canadian team for winning the Safe Day Every Day Gold Award recognized by the Association for Mineral Exploration together with the Prospectors & Developers Association of Canada and the Canadian Diamond Drilling Association. Our Canadian team achieved over 1.1 million hours without the lost time injury to merit this award, and I'm extremely proud of that achievement, which is a testament to our team's dedication to safety across the world. Now for the second quarter of fiscal 2025, we had slightly better-than-expected results as we were able to maintain our revenue run rate relative to fiscal Q1 despite challenging conditions in certain markets. Our Chilean and Australian regions continue to perform very well offsetting lower activity levels in North America, primarily as a result of reduced exploration spending by juniors. Our adjusted gross margin increased over the prior quarter as we remain disciplined with pricing, while demand for our specialized drilling services remains strong. Our balance sheet also remains strong, which allows us to continue to invest in growth opportunities like Explomin, fleet modernization and new technologies, all at a time where the future looks bright for our industry. I will discuss this further after Ian walks us through the quarter financials. Ian?
Ian Ross: Thanks, Denis. Revenue for the quarter was $189.3 million, in line with fiscal Q1 revenue of $190 million, down 8.6% from revenue of $207 million recorded over the same period last year. Canada and the US remain a challenging market, partially due to limited junior exploration budgets. However, this was offset by continued strength in other markets, including Chile and Australia. The foreign exchange translation impact on revenue and net earnings for the quarter when comparing to the effective rates for the same period last year was nil. The overall adjusted gross margin percentage, excluding depreciation was 30.5% for the quarter compared to 31% for the same period last year as we remain focused on our best-in-class specialized drilling services as well as discipline with respect to pricing. G&A costs were $18.4 million, an increase of $800,000 compared to the same quarter last year. The increase from the prior year period was primarily driven by inflationary wage adjustments. The income tax provision for the quarter was an expense of $6.5 million compared to an expense of $7.4 million for the prior year period. The decrease in the income tax provision was related to an overall reduction in profitability. The company generated EBITDA of $38.7 million compared to $43.6 million in the prior year while net earnings were $18.2 million or $0.22 per share compared to net earnings of $23.7 million or $0.29 per share for the prior year quarter. Company added $23.5 million to its net cash balance, ending fiscal Q2 with $100.4 million. As previously mentioned, the McKay acquisition successfully met all of its EBITDA milestones in the earn-out period with the final earn-out payment of $9.1 million having been made during the quarter. Given the balance sheet strength, the company remains well positioned to continue investing in its industry-leading fleet while maintaining flexibility to respond to potential growth opportunities such as the Explomin acquisition announced in early Q3. In line with this strategy, the company spent $20.1 million on capital expenditures in the quarter adding five new drill rigs and support equipment while disposing of four older, less efficient rigs, bringing the total rig count at quarter-end to 610. The breakdown of our fleet and utilization in the quarter is as follows. 296 specialized drills at 41% utilization, 119 conventional drills at 43% utilization, 195 underground drills at 47% utilization, for a total of 610 drills at 43% utilization. As we've mentioned before, specialized work in our definition is not necessarily conducted with a specialized drill. Rather it is work that requires that we meet the rigorous standards of our customers in terms of technical capabilities, operational and safety standards and other related factors. These standards are becoming increasingly important to our customers. In the second quarter, revenue from specialized work accounted for 64% of our total revenue as we continue to see increased demand for our specialized services. Conventional drilling, which is mostly driven by juniors, remained low at 11% of our revenue for the quarter while underground drilling revenue contributed 25% of our total revenue, the company continues to look for diversity in its revenue streams. We continue to see the bulk of our revenue driven from seniors and intermediates representing 88% of revenue this quarter as they continue their elevated efforts to address depleting reserves. Junior activity remained impacted by access to capital to fund exploration programs and made up 12% of our revenue this quarter. In terms of commodities, following on trends seen in previous quarters, we continue to see a shift in our revenue mix with gold remaining below the 50% historical average and 41% of our revenue for the quarter while copper continues to drive growth in a few regions coming in at 23% of revenue. Iron ore made a more meaningful contribution to revenue in the quarter, reaching 15%, driven by continued strength from our Australian operations and demonstrating the diversity in the commodities for which we drill for around the world. With that overview of our financial results, I'll now turn the presentation back to Denis to discuss the outlook.
Denis Larocque: Thanks, Ian. Before going into the outlook, I'd like to briefly highlight our latest acquisition, which was completed few days into our third quarter. We're very excited to welcome Explomin to the Major Drilling team as we believe they represent a strong strategic and cultural fit, which expanded our South American presence. Explomin has a very strong reputation in the region. And similar to Major Drilling works predominantly with a variety of senior customers, which combined to generate 90% of their revenue. Given their excellent maintenance practices, we do not anticipate any substantial incremental CapEx requirements as their fleet of 92 drills already meet our high standards. In terms of rig breakdown, Explomin's fleet consists of 49 underground rigs and 43 surface rigs that are primarily engaged in specialized work, which includes high altitude, deep hole and directional drilling. Turning to the breakdown by country. Approximately 75% of Explomin's revenue is derived from Peru, a country that has been on our radar for some time given its status as the second largest producer of copper in the world and our belief that copper demand will remain robust with the ongoing energy transition and increased power demand. The remainder of Explomin's revenue is primarily sourced from Colombia and the Dominican Republic with a small operation in Spain. Given the strong focus on Peru, approximately 40% of Explomin's revenue is derived from copper projects, followed by 40% from gold and then 10% silver. Over the past 12 months, Explomin has generated US$95 million of revenue and US$16 million in EBITDA. While EBITDA margins are slightly below our typical run rate, this is due to a higher percentage of underground drilling contracts, which typically offer a more stable revenue base. The upfront US$63 million purchase price was funded through our balance sheet and strong quarter-end net cash position, which Ian previously mentioned. With respect to the earnout, Explomin will need to achieve average annual EBITDA of US$21 million per year over the next three years in order to obtain the full US$22 million of earn-out, setting a reasonable target for margin and EBITDA growth. I'd like to reiterate our belief that Explomin represents an excellent acquisition with Carlos Urrea, the Chairman and Founder of Explomin and existing Explomin Management Team remaining in place. Looking ahead to our seasonally slower third quarter of fiscal 2025, we are expecting programs in North America to pause for the holiday period slightly earlier than in prior years although this is expected to be partially offset by our ongoing strength in Australia and Chile. While we will be adding revenue from the Explomin operations, we expect them to have the same usual seasonality as the rest of our South American operations. Over the longer term, we continue to remain optimistic. The increase in gold price is expected to lead to growing levels of free cash flow generation, which when combined with depleted reserves, is expected to lead to higher levels of exploration spending. Additionally, the recent increase in M&A activity and the rebound in financing activity from the summer lows are additional positive indicators. Similarly with copper, electrification, decarbonization, AI and data centers are all expected to be demand drivers with BHP recently estimating that copper demand could grow by 70% by 2050. On the supply side, a lack of recent discoveries and decline grades could lead to supply crunch in the next few years with a much more supply -- significant supply crunch projected from 2030 onwards, which is the reason why drilling is needed going forward. I'd like to -- we announced yesterday, the resignation of Rob Krcmarov from the Board of Directors effective as of yesterday as he is looking to focus on his new role as CEO of Hecla Mining. On behalf of our Board and our leadership team at Major Drilling, I'd like to congratulate Rob on this appointment and thank him for his significant contribution during his tenure on the Board. Rob's experience and insight has been great for Major Drilling and he was instrumental in developing our decarbonization plans, helping strengthen our health and safety program, but also his -- with his timely advice regarding the most recent acquisition of Explomin. So thank you, Rob, and we wish you all the best in your new role at Hecla Mining. Finally, I know it's a bit early, but I would like to wish Happy Holidays to our more than 5,400 employees around the world. Thanks again for your amazing dedication. I am always amazed by the passion and commitment of our crews and staff, the safety and getting the job done. I hope you get the rest well because it should be a busy year coming up. With that, we can open the call to questions.
Operator: Thank you. [Operator Instructions] And the first question is from James Vail from Arcadia Advisors. Please go ahead.
James Vail: Good morning.
Denis Larocque: Good morning, Jim.
James Vail: Hey, Denny, how are you?
Denis Larocque: Good.
James Vail: Good. Denny, as you go forward, where do you think the junior exploration business settles out at? It seems to me that with this recent acquisition, they're going to become less and less of a swing factor in the results going forward. Is that a reasonable expectation?
Denis Larocque: Yes and no. In a sense, with the acquisition, we really strengthened our base and given ourselves, what I would call, a much higher floor in terms of stability of revenue with increased underground by definition, it means you're in an operating mine, which is steady cash flow even that's not as exposed to the financing or exploration cycle. But nonetheless, the juniors bring a wave of extra activity and we're already starting to see some pickup in junior financing, which -- we get our fair share of that. When that picks up, when you look back at the peak, we had over 30, I think we were at -- about 35% of our revenue came from juniors and that's on peak revenue. So you can just imagine the amount of revenue that generated. So that still can bring a significant influx of activity, whether it's with us or to the industry in general, which then drives the activity level of everybody. But yes, no, it -- to your point, the acquisition, yes, gives us a very good base. But there's -- we are very optimistic about the future.
James Vail: Yes, okay. All right. That's good. Thank you and best for the holidays for you guys.
Denis Larocque: Same to you.
Operator: Thank you. And the next question is from Brett Kearney from American Rebirth Opportunity Partners. Please go ahead.
Brett Kearney: Hi. Good morning, Denny, Ian. Thanks for taking my question.
Denis Larocque: Good morning.
Ian Ross: Good morning.
Brett Kearney: Congratulations on getting the Explomin transaction completed and really encouraging that Carlos and his team are staying on post the close. I know it's early days, but just curious what you guys see at this point down the road, learnings from what that team is doing operationally with their customers as well as some of the best practices Major Drilling has developed that you guys can leverage in terms of collaboration and best practices sharing?
Denis Larocque: Yes. I'll tell you one thing, when we look at acquisitions, we look at companies with high standards that basically fit our culture and fit the way we operate and Explomin certainly fits that. And you go back when we made the acquisition with McKay, it was the same thing. They were the top drilling company in Australia and in Peru. Basically, what we heard is that Explomin was the same in Peru. They were the top company operating there with higher standards in the industry. So really to answer your question, I don't think there's going to be tons of changes or they were already operating with -- they've got the procedures, they've got high safety standards and so for us, that's what makes those acquisitions easier because the conversations are very, very similar. We speak the same language in a sense and we mentioned even on the CapEx side, not a lot of investment required because they're already at that level. The've kept their fleet, they're thinking the same way as us in terms of quality of fleet, and they even have the same strategy in terms of specialized focus, not necessarily chasing every drilling project, but focused -- have a focus on specialized drilling. So no, very similar cultures. So we -- that's why it's really fit for us.
Brett Kearney: Terrific. If I could just ask one more quick one. Another item, I know it's early days, but following the election in the US, I know there's still a lot to play out and the focus has primarily been on, well, a lot of discussion on the energy side. But curious whether you're hearing from folks, your customers, this broader push by the incoming administration around rolling back regulation and the implications it could have for minerals and metals extraction in the US or North America more broadly?
Denis Larocque: Yes. Well, I'll tell you, regulations has been kind of coming in the way of exploration in a sense. And in fact, we've seen, for example, Argentina has taken that view in terms of growing their market, growing their mining industry and streamlining processes. And we're seeing 2025 is going to be a busy year in Argentina and we're seeing pickup. So the -- what -- in terms of streamlining the processes in the US, the permit has been -- permitting has been an issue for many mining companies. So we welcome that news. I'll tell you, we wish that Canada would basically deal with that the same way and basically help with the process, help mining companies because I think we would see probably a bigger pickup in activity. Not being political here, it's just that I hear it a lot from mining companies that the processes and the red tape that's needed now in Canada compared to -- Canada used to be a leading in the world and now we trail in terms of mining industry and it shows in terms of activity level.
Brett Kearney: Yes. That's very helpful color. Thanks so much, Denny.
Operator: Thank you. [Operator Instructions] And the next question is from Donangelo Volpe from Beacon Securities. Please go ahead.
Donangelo Volpe: Hey, good morning, guys, and congratulations on the results.
Denis Larocque: Good morning.
Donangelo Volpe: Just wanted to say thanks for providing the breakdown of the Explomin rig count. I was just wondering if you guys could provide any color regarding the utilization rates of their fleet? Are they around like the 40% mark that you guys are currently holding or are they a little bit higher?
Denis Larocque: No, they're higher. They are more in the 70 range. And really, that's because that's driven from the higher percentage of underground work, which typically goes year round. So it just brings better utilization, but as we always say, at lower rates. But overall, when you get to the end of the year, you still end up with the same return on capital just because you get steady revenue throughout the year.
Donangelo Volpe: Okay. Thank you. And then just moving over to South America or I guess still in South America. I understand that the Chile operations remain strong. You guys did point out towards some slowdowns in other parts of the region. Would the addition of Peru kind of help offset this or how are you guys feeling about Peru? And could you guys speak about some of the regions that we're experiencing slowdowns throughout the quarter?
Denis Larocque: Well, the slowdown we're talking, going towards Christmas, South America always has a higher level of shutdowns at Christmas. So and that's historically has always been the case every year. And so we don't expect that to be much different this year. Although in Chile, we're seeing a push for shorter breaks, and that's why we're saying that in the short-term, we see Chile basically offsetting some of our slowdown that we're going to see in North America. But the rest of South America is going to go through the same seasonality slowdown at Christmas and including Explomin, it's part of their history. We looked at that, and it's just exploration programs, usually mining companies take a break at Christmas for sometimes two, three, could be up to four weeks and then pick back up in January.
Donangelo Volpe: Okay. Thank you for answering my questions. I'll hop back in the queue.
Operator: Thank you. There are no further questions at this time. I'd like to turn the meeting back over to Mr. Larocque.
Denis Larocque: Thank you. And I want to wish our investors and again our employees best for the holidays and we'll be talking in 2025. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.